Operator: Good day, ladies and gentlemen, and welcome to the Brooks Automation’s First Quarter Financial Results Conference Call. My name is [Kisha], and I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to hand the conference over to Mr. Martin Headley, Executive Vice President and Chief Financial Officer. Please proceed, sir.
Martin S. Headley: Thank you very much, [Kisha], and good afternoon, everybody. I’d like to welcome each of you to the first quarter financial results conference call of Brooks fiscal 2012 year, covering the results of the first quarter ended on December 31, and providing an outlook into the second fiscal quarter ending on March 31. Our press release was issued after the close of markets today and is available on the investor relations page of our website www.brooks.com, as are the illustrative PowerPoint slides to be used during our prepared comments during the call. I’d like to remind everybody that during the course of the call we will be making a number of forward-looking statements within the meaning of the Private Litigation Securities Act of 1995. There are many factors that may cause actual financial results or other events to differ from those identified in such forward-looking statements. And I refer you to the section of our earnings release titled “Safe Harbor Statement,” the Safe Harbor slide in the aforementioned PowerPoint presentation on our website, and the company’s various filings with the SEC including Form 10-K and the fiscal year ended September 30 2011. We make no obligation to update these statements, should future financial data or events occur that differ from forward-looking statements presented today. I would also note we also make reference to a number of non-GAAP financial measures, which are used to in addition to and in conjunction with results presented in accordance with GAAP. Management believes these non-GAAP measures provide an additional way of viewing aspects of our operations and performance but, when considered with the GAAP financial results and the reconciliations of GAAP measures, provide a more complete understanding of the Brooks’ business. Non-GAAP measures should not be relied upon to the exclusion of GAAP measures. With me today is Brooks’ President and Chief Executive Officer, Steve Schwartz, who will open with remarks around the business environment and our current initiatives. I will then provide an overview of the first quarter financial results and a summary of our financial outlook for the March quarter, the second quarter of Brooks’ fiscal 2012. We’ll then take your questions. During our prepared remarks, I will from time-to-time make reference to the slides available to everybody at the Investor Relations page of our website. And with that, let me introduce Steve Schwartz.
Stephen S. Schwartz: Thank you, Martin, and thanks to all of you for joining our call. Today, I’ll spend a few minutes updating you on our progress against our strategic initiatives, highlighting some of the focus areas for the company, and outlining what we see as prospects for our continued growth in each of the markets that we serve. There’s been a significant change in our business outlook since our last earnings call. In November, we knew that we renew our cyclical bottom in our semi business, but we did not know when or how much of a recover we might expect. Our orders began to pick up in December, so that our near-term outlook has improved significantly and we’re looking forward to an improvement in the semiconductor portion of our business. Consistent with many of the North American suppliers to this industry, who have already reported their December results, our semiconductor products revenue in the December quarter was down about 27% from June 2011 levels. Fortunately, capital spending announcements from large IC makers are setting the tone for an improved 2012 forecasts. And like other suppliers to this industry, we too see improvement in the March quarter. We’re also beginning to have more confidence that the June quarter will be up from there. Ultimately, the continued global macro economic uncertainty will determine the speed and surety of these capacity investments, but for now, the tone is distinctly positive. In our Life Science Systems business, we participate in large and growing market that is not susceptible to dramatic capacity driven swings. Our December quarter Life Science Systems revenue was $12.8 million, up $4.4 million from September, a quarter in which we had the benefit of only two months of Nexus revenue. We anticipate a further increase in Life Science Systems revenue in the March quarter. In Life Science Systems, we have targeted an area of strong secular growth and although, order patterns can be lumpy, our business overall should be steadier. As we discussed on our last call, we've seen some decrease in the non-semiconductor portion of our business, specifically from the September quarter to the December quarter, revenues from semiconductor products was flat and Life Sciences revenue was up. Meaning that, all of the quarter-to-quarter revenue decrease was due to the decline in our industrial and adjacent markets. As we forecasted, a majority of the decrease was from the sudden drop off in our Polycold product line, which is used in the manufacture of active displays for mobile devices. Consistent with history, there is some lag in recovery of industrial markets when compared with the semi recovery. So we anticipate growth will start soon. In the aggregate, just over 33% of our revenue came from non-front-end semiconductor markets, down from 38% in the September quarter. however, I want to reiterate our objective is that we intend to grow the semiconductor portion of our business and simultaneously, we intend to grow the percentage of our business from our other target markets even faster. Specifically, our growth plan is fueled by three sources. first, we’re growing our semi-business by investing in our core, technical and product areas in the semiconductor front-end to gain market share by winning new applications. Over the last year, we won approximately two out of every three opportunities that we identified, and our momentum continues to build with each quarter. Second, we continue to apply our technical expertise to what we call adjacent markets. These markets continue to outgrow the opportunity from pure semi as there are significant changes that are occurring in the display and back-end packaging areas that are driven by the boom in mobile devices. We see these trends continuing to drive new opportunities for us in the coming years. Finally, we’re making significant investments and excellent progress growing our Life Science Systems business. We’ve introduced a unified brand and continue to take advantage of our strong Life Science team, which now numbers more than 200 people. We are making significant progress toward achieving our aggressive growth objectives, and we will continue to invest in growth and improved profitability of each of our businesses. I’ll now report on some specific highlights of the quarter. In our Brooks Product Solutions business unit that contains our robotics systems and vacuum products we recorded 22 design wins for applications that are directly in our strategic sweet spot. Interestingly, during a period of slower activity at our customers it was our biggest quarter for design win orders since we started tracking this method two years ago. We added six new OEM customers, two each in North America, Japan and China. Out of our 22 wins, 14 were in front end semi and eight wins were in adjacent markets we serve that include LED, advanced wafer level packaging and storage. As for our key product successes, we had nine wins for our MagnaTran 7 and 8 robots, six were for semiconductor, and three were for applications in adjacent spaces. Of particular note, we received two new orders for our high capacity MAG 8 robot that’s capable of handling a 20 kilogram payload. We’re in five new orders for products from our atmospheric family of robots, one for [new] LED application and two for back-end applications. In our Systems business, we shipped first units to five different customers for applications in semiconductor front-end, MEMS, wafer level packaging and LED. And 450 millimeter activity continues to increase as we had three new orders all for systems. We also shipped another 450 millimeter vacuum system. Earlier this quarter, we acquired the technical assets for a linear vacuum mainframe design from Intevac that compliments our existing portfolio of 450 millimeter vacuum systems. Turning now to business activity in our Life Science Systems business, we also had a very active quarter, as we book just under $18 million of new business. We won 10 new cold storage at nine customers; four for large pharmaceutical companies, three for research institutes, two for biologics and one for a government agency. Half of these systems are for North America and half will be installed in Europe. Four were for first time customers. We’re particularly pleased with the momentum we have in this market area and we continue to have a pipeline that is full of opportunity. Also at the end of the December quarter, we acquired a product line called Celigo from Cyntellect, which is very precise high throughput analytical tool used for cell imaging and has a market potential for broad applications at research facilities around the world. Since the introduction of the Celigo product less than three years ago, it is already installed at 40 customers. And very importantly 17 of the Celigo customers are already customers of other Brooks Life Science Systems products. The acquisition provides us with additional opportunity to cross sell products and deepen our relationships with important customers. We will continue on this course of new product development and acquisitions to support our strategy. We also now have critical mass of very strong technical talent and an A list of Life Science customers who will allow us to bring new products that we develop to market, while we pursue a greater share of the markets, where we already participate. In addition to aggressive top line growth initiatives we’re making investments to improve gross margin and profitability. We’re now beginning to see the first benefits of our supply chain and manufacturing cost improvements. We plan to continue to make investments that will reduce our product costs, but from this point forward the benefit each quarter will be greater than our spend on these initiatives. Ultimately we still have a goal to improve our gross margin to 40%, when revenue levels are back to $150 million per quarter. Before I conclude my formal remarks I want to make sure to mention another of the highlights since our last earnings call. At the beginning of January, we significantly strengthened our management team, when Mark Morelli joined us as Executive Vice President and Chief Operating Officer. We’re extremely fortunate to have someone of Mark’s caliber on the management team as he brings strong leadership and a great track record of growing profitable businesses. He has already begun to have a positive impact on the organization and has taken charge of some of our key operational initiatives. Mark’s initial focus is on our operational improvements and profitability objectives, but he is intimately involved in all aspects of our business. We welcome him to Brooks and look forward to his strong contributions to our success. When we look back just five quarters, we were a company with approximately $140 million in cash, a good market position in semiconductor, and a few adjacent applications. We had a successful contract manufacturing business and we had gross margin of 30%. We were performing well, but our growth prospects were tied largely to the fluctuations of semiconductor capital equipment market, and then any part of the cycle, our large contract manufacturing business weighed on gross margin. Today, we have $195 million in cash and no debt. A stronger market position in semiconductor, and many more wins and opportunities in adjacent spaces. We no longer have a contract manufacturing business, which by the way likely would have caused us to lose money in the previous quarter, and we started a Life Science business with exciting growth opportunities. We’re in a position to grow faster than the rate of growth in our markets and we have a path to gross margin of at least 40%. We are enthusiastic about our prospects. The promise of a good return on our investments to-date, and the team we’ve assembled to capture these opportunities. And now, I’ll turn the call back to Martin for him to give color on the quarter and guidance for March. Martin?
Martin S. Headley: Thank you very much, Steve. Significant events in the December quarter, I’d summarize on slide three of the presentation. The financial statements reflect the full quarter of Nexus Biosystems acquisition compared to only two months of activity, which was reflected in the September quarter following the purchase on July 25, 2011. The balance sheet also includes the assets from the Celigo product line acquisition that we closed on December 28, 2011. The quarter opened with very low semiconductor capital equipment activity levels that continued through November. However, a strong rebound in the last few weeks of the quarter resulted in product shipments to wafer front-end being approximately flat with the prior quarter. The most significant sequential revenue decline during the quarter came from reduced capital spend for products destined for industrial market. Most notably, as Steve noted for the Polycold, mixed gas cryo chillers. Finally, the Brooks’ tax provision has fluctuated and will bounce around somewhat over the coming quarters. Given the impacts of mix on where profits are recognized in the time table for statute of [limitations] expiry related to the certain tax and services. Slide number four shows how Brooks’ sequential revenues and operating profits before special charges moved from the September quarter results, the final fiscal quarter of 2011 to the December quarter, our first fiscal quarter of 2012. In the September quarter, excluding the impacts of fair value acquisition accounts and the restructuring charges, the Brooks Life Science Systems recognized $4.3 million of incremental revenues and reduced losses by $1.3 million. This brought the Life Sciences business to an underlying $53 million revenue run rate, well on track with our annual growth target. The Brooks Product Solutions felling into semiconductor adjacent and industrial market, saw a $13.2 million or 13.4% decline in revenues, the bulk of which came from reduced revenues into industrial markets as previously referenced. The operating drop through on this decline was $7.4 million with the high incremental impact arising from lower overhead absorption from inventory reductions, and a higher proportion of sales to our lowest margin semiconductor customer as compared to higher margin industrial and adjacent market business. This mixed profile is likely to continue into the second fiscal quarter with some reversal in the back half of the fiscal year. The Brooks Global Services business saw a hiccup from the long-term growth track grew mostly by reduced levels of spares activity from end users fabs and foundries during a period where many were operating substantially below capacity. Revenues declined sequentially by $1.8 million or 7.7% with a $1.3 million reduction in operating profits. The additional amortization expense and operating expenses from the full quarter of Nexus Biosystems, the operating profits before special charges finished up $2.3 million on revenues of $120.2 million. The challenge is of fixed cost absorption of mix have an adverse sequential impact on gross margins. Slide number five shows the 320 basis point reduction in gross margins from these factors. R&D expenses increased within Life Science Systems with a full quarter of these resources within the Brooks P&L. Meanwhile, SG&A expenses reduced this cost control and lower incentive compensation expenses offset higher stock compensation expense. Looking of what happened below the line, special charges and income taxes both increased from income tax related method. This is reflected in slide number six. The September quarter had their credit in special charges from settling a prior year tax audit method. First quarter fiscal 2012 income taxes and special charges do not contain any such similar items. Net income attributable to Brooks on a GAAP basis was $3 million or $0.05 per diluted share and adjusting to exclude special charges, diluted earnings per share was $0.06. Brooks generated $10.8 million of adjusted EBITDA as shown on slide number seven. A reconciliation of this to GAAP amount is included as an attachment to our press release. We utilize $4.3 million of cash on working capital with the reductions in accounts payable and accrued compensation more than offsetting reductions in receivables and inventory. This reflected the profile of the quarter with higher amounts in receivable at quarter end as well as the usual yearly cycle of incentives compensation payments. We’re also impacted by the timing of cash from our joint ventures, and overall cash flow from operations was $5.1 million. Capital expenditures of $2.1 million in the quarter should be typical throughout our upcoming quarters. As Steve mentioned, Brooks invested $8.7 million in the Celigo product line in December, an exciting automated come into product that fits well in our strategic plan, for building out sample handling and analysis tools around the automated sample management systems where we now have a market leadership position. Cash on marketable securities reduced by $11.3 million over the quarter, and we closed the quarter with $194.5 million of cash and marketable securities. This excludes any restricted cash and these all considered readily liquid. As shown on slide number eight, there was one customer discounted for more than 10% for the quarter’s revenues. This compares with two in the comparable quarter last year. the reduced customer concentration with the divestiture of the manufacturing business and the developments of the Life Science Systems business is demonstrated by the reduction in business with the top three customers, moving down from 47% to 25% over the past year. This purpose at the end, OEM is regarded as our customer, as these customers make the design in decision run the intermediary contract manufacturer, they may utilize who is technically, who we invoice for the sale of our component products. The decline in revenues to industrial market is reflected in our updated chart of revenues by market. From 18% in the September quarter, industrial revenues were 11% of revenues in December quarter. semiconductor front-end products were 51% of revenues in the December quarter and the Brooks’ Global Service revenues, which are more stable and largely directed to end-user fabs and foundries were 18% of total revenues. Life Sciences represented 11% of our revenues in the December quarter. Turning to our segment operating performance, first want to comment on the underlying performance of Brooks Life Science Systems, excluding those fair value accounting and other integration adjustments, required to present GAAP financial statement as a result of the acquisition activity. This view of what the underlying business performance was is presented on slide number 9. On a GAAP basis, Brooks Life Science Systems recognized $4.8 million of gross profit, and $12.8 million of reported revenues. After adjustments the Brooks reflected $5.2 million of gross profits and $13.3 million of revenues resulting in a segment operating loss much closer to break even at $300,000. On slide number 10, we’ll review the sequential results of the Brooks Product Solutions business where sales of Polycold and CTI backing products into industrial market, were down $10 million. Overall revenues were down 13.4% with semi front end revenues flat. Gross margin declined sequentially from 37.3% to 33.3%, with accumulative impacts of unfavorable mix and unabsorbed fixed costs. Our margin industrial revenues were replaced by some growth in some of the lowest margin semiconductor business, and the geographic mix also moved away from some of the high margin business. Operating expenses declined with lower SG&A expense. Overall the segment produced $1.1 million of segment operating profit, I think 1.3% margin rate. The Brooks Global Services segment booked reason growth trends with the significant drop off in spare parts demand as shown on slide number 11. Repair and field service activities for robots grew, once there was a decline in the pump repair activity. As noted in the September quarter, that quarter reflected favorable margins from the use of reserved inventory. The absence of this factor and with slightly lower operating expenses, the business reported $2.9 million in segment operating income that’s an operating margin right of 13.3%. As Steve mentioned, the order bookings were robust in December, it’s $128.5 million, a 16.5% sequential increase. The book-to-bill was 103% for the technology businesses and 139% for the Life Science Systems business. With this backdrop the guidance for the March quarter is for revenues to increase to between $132 million and $140 million. Gross will likely be high for sales into Life Sciences on wafer front-end equipment model. Guidance for adjusted earnings per share excluding all acquisition related and restructuring adjustment is in the range of between $0.15 and $0.20. Included within this expected results we’re at $3.5 million reduction in SG&A expenses from recovery of previously expense costs associated with the stock compensation legal method, the last matter of which settled 10 days ago, this reduction will be partially reduced by higher stock compensation costs associated with the annual direct stock [rent], which bets some grant. We also included in this guidance, a favorable tax expense was approximately $1.2 million of tax uncertainties are expected to be sponged on expiry of the statue to the late limitations. GAAP earnings per diluted share are expected to be between $0.09 and $0.14 with up to $3 million charge offs of in-process research and development cost associated with the acquisition of linear mainframe technology from Intevac. This accounting treatment reflects no judgment on the continuing high value that Brooks sees in this intellectual property investment. And with that, I'll now turn the call over to questions. [Kisha]?
Operator: (Operator Instructions) Your first question comes from the line of Edwin Mok with Needham & Company. Please proceed. Edwin, please check your mute feature.
Y Edwin Mok: Hi, sorry about that. thanks for taking my question. So, first question I have is actually on 450. You mentioned that you shipped three system in the quarter, I was wondering how you can’t think about a 430 opportunity this year it appears in customers [chart]. Did that development, do you see that actually as a growth driver for your business this year?
Martin S. Headley: Yeah. Hi, Ewin let me clarify one thing. We had orders for three new 450 millimeter systems and we shipped one additional vacuum system. So orders for three and one additional shipment that we had already taken an order for, but  we see a pretty significant level of activity in 450, a lot of customers are interested to get our first unit, put into their development lab, there is one of the earlier 450 products that is in end user customer facility right now. The most of the activity we have is for customers who are developing 450 millimeter process technology.
Y Edwin Mok: Thanks for the color. On the outlook I think Steve you mentioned that you expect you have a more confident that your June quarter to be up sequentially even the March quarter, is that mostly come from the semicap string there or you counting on recovery in (inaudible), can you give us some color on that?
Stephen S. Schwartz: It is primarily from continued strengthen semicap and we’ve some turn to modest levels in industrial markets for our vacuum equipment, and as well as continuing robust progress of our Life Science Systems business, so it’s a bit of all the pieces coming together and jelling with our service business also contributing nicely, probably the largest element from semi.
Y Edwin Mok: Great. Thanks for the color. And then I guess quickly touch on the Life Science area, you talked about booking at $18 million, this is higher than your revenue right and just curious what income time horizon for those booking, and do you see any kind of potential or seasonal decline or any kind of the other thing that could impact our business income in quarters, on the next two quarters if you will?
Stephen S. Schwartz: So Edwin the cycles for the bookings of the units are pretty long, sometimes it’s six months, sometimes it’s three years, so these are pretty big size capital purchases and there is not really a seasonal aspect to that, when we get down to the consumable products level, sometimes there are seasonal aspects when people lead to use some budget at the end of the year. And so, what we understand is that typically there will be a pop – often there will be a pop at year-end, when people want to use up their budgets, but that comes from the consumable side, not from the big ticket bookings, if you will.
Martin S. Headley: In terms of revenue recognition since a number of these larger projects have presented completion accounting, some parts of that will start to be reflected in our revenues even though, typically final delivery and acceptance of these units may be many months out.
Y Edwin Mok: I see, great. Just quickly touch on your guidance, I think there is some one-time stock comp expenses that could come into the – these I guess are adjustment that actually is a benefit for you guys for the quarter? I was wondering it in terms of run rate, how do you think of your operating expense going forward and (inaudible) as to what you did on last quarter, I would imagine you guys continuing that so, what do you think your OpEx can get to?
Martin S. Headley: Well, if you look to the operating expenses, which were $25.3 million in the quarter. In the December quarter, you’re going to see the impact of the recovery of costs that we previously expensed on the final methods related to the options methods. Going in one direction, increased costs associated with the annual direct to ground, which immediately were. And so, when you take those factors into account, you’d expect to see a fairly sizable reduction in SG&A in that quarter and you probably see an increase up to kind of December levels expected typically beyond that. So, it’s going to bounce around with these factors going along at this juncture. During all of this time, within that there is some funding of the productivity initiatives that Steve made a mention too, and those start to really bear fruit in terms of gross margin improvements in the back part of the year.
Y Edwin Mok: I see, great. That's all I have. Thank you.
Martin S. Headley: Okay.
Operator: Your next question comes from the line of Terence Whalen with Citi. Please proceed.
Terence Whalen: Hi, good afternoon. thanks for taking the question. Just wanted in regards to the industrial market, if you think back historically in your participation in that market as you've gone through cyclical troughs, and then as you sort of re-emerged from those troughs, can you compare where you are today with the industrial market versus in the past and maybe where you might see some leading indicators turn positive for that business? Thank you.
Martin S. Headley: Yes, thanks, Terence. The industrial market, it (inaudible) the play general vacuum applications for cryo pumps, gauges, mixed gas cryo chillers. Our experiences with these businesses that they tend to lag semiconductor, tend to lag it by a quarter to two quarters. So it would be our expectation that we would start to see some rebound probably into the June quarter is the best estimate we have at this stage, and we will be obviously scattering customers in our distributor assessments of that closely, but it is a lot of typically smaller dollar sales. so it’s an accumulation of a lot of factors that come into play there.
Terence Whalen: Okay terrific, thank you. And then as a follow-up question, the book-to-bill obviously in Life Science is very strong. Perhaps does your observation of that book-to-bill maybe it lead you to every question whether that business will grow at 20% or 25% or perhaps higher this year, thank you.
Martin S. Headley: I think I’d go back to Steve’s comment in his prepared remarks about how lumpy the bookings are these are very long gestation projects. They can’t all capture at one point in time, whilst we are very encouraged by the business we’re winning and in the strong position, we are in, I think we’ll be cautious about getting over optimistic had gone beyond the 20% growth rate that we projected for this business at this stage, but we show we’re wrong it’s better.
Terence Whalen: Okay. Terrific and then my final one is, regarding some of the pick up and activities on the semi-cap equipment side of the business. Can you just help provide a little bit more clarity maybe by segment where you see that, and what are your expectations are going through the next couple of quarters, thanks.
Martin S. Headley: Is this in terms of end user application that you were thinking of the clarification on the semiconductor please turn…
Terence Whalen: Yes, I’m, Martin.
Martin S. Headley: Okay. Well, I think where we see it given we have such broad application for our products is that we follow mostly what’s going in the industries, the [humanoid], but probably better than we do, which is none that’s particularly strong at the moment. And that driver is also geographically strongest currently in Korea, and in Taiwan.
Terence Whalen: Okay, I appreciate that insight. Thank you.
Operator: Your next question comes from the line of Satya Kumar with Credit Suisse. Please proceed.
Feran Emit: Hi, this is Feran. I just wanted to ask a question regarding your Life Sciences business. Like this quarter your operating income was pretty close to break-even, seems like it’s getting there. Can you give us an idea of what revenue level do you expect it to be profitable? And also like if you can elaborate on how your growth in Life Sciences business was on a trailing 12 month basis?
Stephen S. Schwartz: First in terms of where we’re going, this Life Science business is very much a business in motion at moment. There’s a lot factors going on. We have integration of three businesses and certain costs being taken out as part of that integration. We have applying Brooks’ operational leadership in the business and carefully reviewing the terms and conditions on which we do certain of the business, which we believe can improve the margin structure going forward. So it isn’t just a matter of volume leverage that gets us to break-even into nice contribution. I think we previously indicated it’s our expectation .We’ll turn that quarter in the current quarter and that we’re operating at that level. And that reflects sequentially a nice growth from where we are. In terms of growth, if you were to talk about this business, at the time we bought RTS from Nexus that was about a $48 million trailing run rate. We haven’t disclosed specifically the run rate of the Celigo business, but it was fairly modest given the start of nature of it as Steve made reference to in his comments. So where we're seeing our growth rate, given the bumpy nature, it will be misleading to compare a particular quarter on a pro forma basis and particularly, given these were private companies whose performance characteristics were driven by other factors than we would drive them back, but we're continuing to have a growth rate consistent with us saying that we’ll show 20% growth above that trailing LTM.
Feran Emit: Thank you. And just one question on Intevac, Steve touched on it briefly regarding the assets that you got from Intevac. Can you just elaborate a little more on what kind of areas are you targeting over the acquisition you have made and what exactly it brings for Brooks?
Martin S. Headley: Yeah. Sure, it's a vacuum system technology with a small footprint and the promise for high productivity. So it's a product that has great interest to us, as it complements a lot of the technologies we developed here at Brooks, but it's a nice IC addition, if you will and we’ll continue to develop that for some applications that will allow a small footprint productive enough solution if you will for some – for 50 applications.
Feran Emit: Okay. So by that you mean like – is it like a mainframe and basically it allows you to like integrate chambers on to I mean, (inaudible)?
Martin S. Headley: That's correct, with an automation assembly inside.
Feran Emit: Got it. So that could likely, I mean if it’s successful, it could be a much more higher ASP product than what you typically sell, is that fair to assume?
Stephen S. Schwartz: Hard to say about ASP, but it will be an attractive application for small footprint utilization if you will, for vacuum system.
Feran Emit: Got it. And then just one last question related to your industrial business, you mentioned that it’s related kind of like from your remarks, it seems like it’s related a bit to the OLED market. I was just wondering like recently there has been like some licensing of printing technology from now probably by Samsung and I was just wondering if there is a shift from vacuum processing to printing, which is leading to some drop and (inaudible) some risk you see or is it just short-term thing, basically the orders are overall declining.
Stephen S. Schwartz: Hi, Feran, it’s not really related to OLED if you will. the bulk of the fall-off, if you will in industrial application where we’ve seen is for our mixed gas cryo chillers that relate to the coding, if you will on display for mobile applications. So that’s been the bulk of it. we don’t have a huge presence right now in something related to OLED.
Feran Emit: Got it. That’s all I had. Thanks.
Martin S. Headley: Okay.
Operator: Your next question comes from the line of David Duley with Steelhead. Please proceed.
David Duley: Yeah. Just a couple of questions, what do you suspect the mix will be, what will the gross margins be in this upcoming March quarter?
Martin S. Headley: I don’t think we’re providing specific growth margin guidance here, Dave. But we’ll see a progression, but it will continue to somewhat depressed by the mix factors that influence the December quarter, but it will be definitely a progression from where we reported in the December quarter.
David Duley: And in the product solutions group when you talk about mix, can you just help me understand is that product mix, customer mix, it sounds like the margins were a little bit lower than you expected. Could you just talk about why?
Martin S. Headley: Its product mix and customer mix, and product mix within customers, so we can have some of our larger OEMs where a particular solution if it’s headed for a particular end user has a spec on a different price point and margin structure to us, than it does for a similar product that’s headed to a different end user. So we have those situations. The biggest element was with the semiconductor recovery coming along so robustly; we were substituting some of our higher margin adjacent market products with some of our lowest margin semiconductor products. and so that profile of demand was not something we projected and it’s something that had adverse consequence.
David Duley: And going forward, how will the gross margins improve in the Product Solutions group, what are the key initiatives to get the gross margins off this 33% rate or whatever was?
Martin S. Headley: Well, there’s clearly, there’s also a mix, there’s the factor of inventory reduction, which also have a absorption issue there. But more importantly going forward, we have substantial supply chain and outsourcing initiatives that we’re looking at. Those are well under way, but given the environments in semiconductor industry where those changes need approval from some of our major both OEM and end user customers, thus a degree of delay in seeing those come through. we’ve got substantial traction on this project. so we can be assured that we will be making progress, it just won’t be immediate, because of those approval processes.
David Duley: Okay. Does it look at this point, like the order number will increase again in the March quarter, how are we – how we are up to the early start of the quarter here.
Martin S. Headley: I would say that the bookings are consistent with thinking that the June quarter will advance from the current quarter. So it is a nice start.
David Duley: Thank you.
Martin S. Headley: Thanks, Dave.
Operator: (Operator Instructions) Your next question comes from the line of Ben Pang with Caris & Co. Please proceed.
Ben Pang: All right. Thanks for taking my question. First a clarification on the gross margin comments, you are targeting 40% gross margin and $150 million in revenues, that’s total revenues?
Martin S. Headley: That is correct.
Ben Pang: And what kind of mix do you assume for that between your Life Sciences and early products?
Stephen S. Schwartz: Ben, this is Steve. If we had the same mix that we had in the December quarter that would be the right target. And it improves obviously as Life Science Systems improves, but it would be the target around this mix.
Ben Pang: Okay. And then a couple of other questions, you talked about the design wins that you had between the core or traditional semiconductor area that you are in and on the peripheral areas. Which do you expect to have a higher growth rate in terms of those new products for 2012, new product revenues?
Stephen S. Schwartz: Yes. so for 2012, we’ll see the semi continue to drive this. The adjacent spaces have the same pattern to design something in. It still has a year if you will, towards qualification when the equipment makers get the product out and get it into beta, get it tested before the volume follows on. So whenever we have any of the design wins you can almost allow 12 months before any volume will follow. Even though, we do get repeat orders, it’s not driving a huge part of the business.
Ben Pang: Okay.
Stephen S. Schwartz: But we’re looking at, for example we’re looking at business that we won in early 2011, and we’re starting to get repeat orders now for that. So some we do pay close attention to, but it does take a while to generate the volume orders.
Ben Pang: Okay. And my last question is, what’s the lead time right now for your product, and did you see a rebound in that area? Are you expecting to see rebound in orders in that area in the first quarter?
Martin S. Headley: We may see a rebound in orders, but probably not for delivery in the quarter. A degree of these orders, a degree of these revenues go through distribution. So there is a little bit of an inventory effect that occurs in the channel. And so, it is unlikely that those would be pushing forward for immediate delivery in the current quarter.
Ben Pang: Thank you very much and nice quarter.
Stephen S. Schwartz: Thank you.
Martin S. Headley: Thanks there.
Operator: Your next question comes from the line of Patrick Ho with Stifel Nicolaus. Please proceed.
Patrick Ho: Thank you very much. I know it’s early in the process as you are integrating your Life Sciences acquisition. But can you just give a little bit of color how you look at your manufacturing strategy on a going forward basis? Is it something where you believe eventually you can leverage your core semiconductor manufacturing capabilities or is this something that’s going to stay pretty much standalone, where it is today?
Stephen S. Schwartz: Yeah, hi Patrick, it’s Steve. There are opportunities. It’s not as great right now as it is in semiconductor. But I give you an example of the four sites if you will that were part of the acquisition, all had manufacturing. Right now, we’re manufacturing only in two sites. So there is some consolidation that’s begun already. And for example, we found some pretty significant synergies related to the cooling mechanisms for the products that we acquired from Nexus in San Diego. And what we do in the Polycold business unit in Northern California. So in California, we have two very like modules being put together. And so we think there are synergies there to take advantage of here in the near-term, and those actions are already begun. But in terms of contributions from the robotics that we have for example in Chelmsford, there’s nothing that has been identified as yet, but we continue to work. So I think good progress so far and – for both from a consolidation standpoint and from a putting like manufacturing processes together, so there is more to be done, but a good start so far.
Patrick Ho: Okay, that’s very helpful. Martin, just a quick question on tax, I know you got a lower tax rate for the March quarter. What can I look for I guess your fiscal year 2012?
Martin S. Headley: For fiscal year 2012, we’ll be subject to a little bit of these bounce around. So I think on balance you can probably expect it to be a tax neutral fiscal year with credits in some quarters and charges in other, so I’m afraid, I wish it won’t, but that’s the way we follow the rules.
Patrick Ho: I understand that and maybe just staying on tax for a second. Given the different locations and probably the customer base on the Life Sciences, how do you see that evolving given the core semiconductor businesses now obviously heavily, [actually I say] heavily, but on the chip maker side, it’s more Asia based and even probably a lot of your shipments go there. So how does that look on a longer-term basis?
Martin S. Headley: On a longer-term basis I think it’s neutral to the tax impact. I mean, clearly means that some of the initiatives that we’re already engaged in with slightly more manufacturing out of our for instance Korea facility then also the U.S. facility, may not be as relevant in the Life Science Systems business. I don’t see it being either a positive or a negative to our tax credit, if you’re going back to your original question.
Patrick Ho: That’s great. Thank you very much.
Operator: There are no further questions in queue at this time. I would now like to hand the conference over to Mr. Martin Headley for any closing remarks.
Martin S. Headley: Well, thank you everyone for your interest in Brooks and we look forward to speaking with you again one quarter from now. Thank you.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect your lines. Good day.